Holly Schoenfeldt: Good morning, everyone, and thank you for joining us today for our webcast announcing U.S. Global Investors Results for Fiscal Year 2025. As you can see on Slide #2, the presenters for today's program are Frank Holmes, U.S. Global Investors CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Director of Marketing. Moving on to Slide #3. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-K filing for more detail on the factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. Moving on to the next slide. As always, we appreciate our loyal shareholders. So if you like one of our signature USGI hats that are featured on this slide, just send us an e-mail at info@usfunds.com with your mailing address and we'd be happy to send them your way. Okay, on the next slide, I want to briefly review the company U.S. Global Investors is an innovative investment manager with vast experience in global markets and specialized sectors. We use a quantamental strategy to create thematic smart beta 2.0 products. The company was originally founded as an investment club, becoming a registered investment adviser in 1968 and has a long-standing history of global investing and launching first-of-their-kind investment products, including the first no-load gold fund. And finally, we are experts in thematic investing, in particular, in gold and precious metals, natural resources, airlines and luxury goods, all using a quantimental approach that includes both macro and micro factors. At this point, I do want to hand things over to our CEO and CIO, Frank Holmes, who will provide a deeper macro overview of this visual and in the whole fiscal year. Frank, over to you.
Frank Holmes: Thank you, Holly. Thank you very much for the introduction, and really smart beta 2.0 is very key as a dynamic investment process that we adhere to. And also from a macro point of view and our thematic ETFs, we try to cross what are the key drivers on global themes, where big government spending is going, and we right in all our perspectives that we believe that government policies are precursor to change. So we monitor and track both monetary and fiscal policies, and we comment regularly, every week in investor alert and if you're not a subscriber, I highly recommended because it gives you a good recap of these various asset classes. As you're looking at right now the DNA volatility and life is all about managing expectations. And when it comes to the stocks, volatility is very important to try to understand grasp. So when we look at the S&P and gold and grow, they all basically, it can go up or down 70% of the time, 1%, not a bit. If it's all 3% that's material. And when we look over 10 days, is 3% to 4%, so if it goes up 10% over 10 days, that means it has a change in momentum. It falls more than 4% over 10 days, usually that's a by. And I'm going to comment about how we continue to buy in those down days, especially when we get these big drought any volatility in spoke volatility in the marketplace. But here, you can see that the DNA volatility of grow is now left, which is really important to me than the Dow Jones U.S. asset managers index used to be greater -- and it used to be much more like the volatility with GOAU is or the airlines index of 3% daily, and now it's down to 1%. And it was important for you to recognize that our revenue comes from assets that are in JETS and GOAU. And they're very important because they drive the overall revenue line. So our DNA volatility has been becoming much calmer than the volatility underlying assets. Next, please. I want to thank the shareholders, all the retail and then the institutional. These are the top 3, either Capital Management, Vanguard and Perritt. Perritt is known for a long period of time, there's expert specialists in micro caps and also have a cultural affinity towards golds and asset class, which I'll comment later on in this macro overview before we turn it over to Lisa Callicotte, to give you the financial updates. Next, please. I owned approximately 90% of the company and 99% of the voting control, which has been compliance with SEC rules, et cetera. We do have independent directors and independent boards that we have to go through the normal process in managing the affairs of the company. And we have experts in the fund business and legal and accounting and venture capital -- so I'm happy to see that the independent directors have a breadth and depth of knowledge of capital markets, which I believe is important. Thank you. Next, please. So strategy and tactic. So create thematic products that are sustainable, using our smart beta 2.0. It requires rigorous back testing for thousands of hours. Our mission is to make people feel financially happy and secure that their wealth is consistently growing. And they relate to these themes that we're providing for public and what I said we backtested it and employs on these products also in addition to myself. But as a company, we strategically buy back the stock using an algorithm on flat and down days. And we managed to preserve past and future growth and opportunities of market corrections, M&A activity to acquire fund assets on a regular basis, we look at opportunities. Grow our subscriber base and followers. We believe that that's very important for the crossover from people that follow us, read our research. They know our culture, they know our values, and it's much easier for them feeling the trust factor to come into our thematic funds. So we want to really have educated and informed investors and increase our closure to the bitcoin ecosystem. We've regularly deploying capital into the Bitcoin ecosystem, especially, when since the Genius Act has been approved, and that has been changing overall capital markets acceptance. And we think that scarcity is important for gold as much as and more so even for Bitcoin, which is capped at 21 million coins, and the adoption process seems to be growing slowly outside America, but pretty quite rapidly in America. Next, please. GROW performs a [indiscernible] cap over the past 5 years, but it's just marginal. What's positive for the shareholders is that small cap stocks has started turning up. And what this visual is trying to show you, the last time we had this epic surge to $12 of share for GROW. A lot of that was a huge growth we had in just ETF and HIVE. HIVE had this exponential move because Ethereum had moved in Bitcoin, but really, we were the dominant player in Ethereum, and we were making almost $1 million a day at that time. Ethereum is no longer a crypto asset to mine and HIVE is now just going through a new growth cycle with Bitcoin mining, especially the expansion in Paraguay and our HPT strategy in Canada -- so that has been part of our exposure is through HIVE. Next, please. They're really important is if you know that 80% of the world's cargo is carried by ship -- so the CETF is connected to emerging markets. So I want to try to explain to people that it's so important like arteries and veins of the world, that is the connectivity between emerging markets, exporting commodities to developing markets, buying the finished product coming out of China or Thailand, all this shipment is taking place on cargo ships. And one of the things we had shut down is our Eastern European fund after Putin invaded Ukraine, it really changed the whole dynamic to New York. And the whole concern about China building up their military and becoming more and more difficult, what they've done, but what we've noticed is that to have a pulse global activity and trade, it really all comes from cargo. And so we created a product. And in daily, you can see cargo provide goods and for energy shifting what the rates are. And what's interesting to me is that they all fell on April 2 earlier this year when Trump came up with his global tariff war, but really start to rebound and cargo shipping actually it is making more money than we were a year ago. And for investors, cargo shipping, the yield on this was about something like an 18% dividend payouts. So these shipping companies are leveraged, but they offer big payments. And I'm happy to share with you with all the negative news last year, the shipping companies did payout big dividends. And this year, their shipping rates are higher, even with this backdrop of all those negative news. Next, please. So this is another visual to highlight that despite tariffs, total imports in the first half of 2025 forecast to be nearly 4% higher than the previous year. Next please. Now gold, gold is in the region all-time high in 2025, but gold talks are ripping up, they're showing up in growth stocks in IBD's growth momentum, both for this huge increase in revenue per share and cash flow per there. But the ETF space, I'm happy to share with you is that we've not experienced the redemptions, but there's been a lot of redemption next place has taken place and when we take a look at the other ETFs. So the biggest is GDX, the experience with $3 billion of redemptions other ETF as the gold stocks have been making all-time highs because the gold is making an all-time high and profit margins have been expanded. So from when we look at our product OAU, it's really how well in fund flows relative to the other big gold ETF. Gold equity ETFs, but what's important here is to show that gold is performing well. And a big part of that is China's push with the BRICS Nations, Brazil and Russia and other one [ road ] one belt countries being anti the U.S., anti particular U.S. dollar in particular, when Obama went after sanctions and complicated U.S. dollar assets and then Biden did it again. There's this big push to de-dollarize. So what you've seen is China and other countries, having less dollars of foreign currency and increasing it into gold. And it's more and more central banks buying gold. So it just tends be prudent for many reasons, central banks have a different theme than retail and family offices or smart investments like Galileo, they believe that when you have such a big interest payment on $37 trillion deficit that goal becomes an important asset class. But what I want to share with the listeners -- it's not just the dollar. It's also the G20 countries are just extensive money printing, and that has really triggered an interest in bitcoin. And with the new administration and with the Genius Act just being recently passed, it enters in that the scarcity of Bitcoin capped 21 million coins, and the scarcity of gold, but there's no mathematical perfect cap on it is showing you that money printing excessive, they're going into alternative asset classes. And gold and silver and gold stocks and Bitcoin and Bitcoin mining stocks are like HIVE was the Bitcoin mining stock but holds Bitcoin. These are alternative asset classes are capturing more appeal, especially when the large hedge fund, the world it keeps articulating why you want to have gold as an asset class. So we think we're in a good position. Next, please. Market disconnect. This is a visual to show you the GDX, which is market-based, market cap-based ETF unlike GOAU, which is more focused on revenue and cash flow and free cash flow and royalty model. There's been nothing, but redemptions as the gold prices have gone up. I believe that is turned now, which is good. The positive fund flows a bit of an offset, but it's really been really weird market, since last year that you would experience Gold taking off profit margin of gold stocks and gold stocks going up 40% to 80% to 100%, various names that there would be net redemptions. What was acclaimed to me was that there's been a lot of hedge funds that were short gold stocks. And along the GDX as gold has been rising, we've been unwinding their hedge position. So I don't know, if that's true, but it really is a conundrum I've seen before. But I think us behind us I really do. I think U.S. Global is well positioned with GOAU and these other thematic products, please next. Record-breaking quarters for royalty companies. Franco-Nevada reported record revenue for the quarter, up 42% year-over-year. Wheaton also had generated record revenue and operating cash flow Triple flags, which came out about 5 years ago, basically posted operating cash flow and increased their dividend. So I think that, that model is continuing to grow, but the gold stock that have higher expenses and then as gold trades higher, all of a sudden, their cash flow and exploding, they've had better stock performance. And when we look at stock by Gold Fields, it's been on a tier. But as a value gold stock picker, it's not the best for a value, but as high leverage, they call it, high operating costs, when both starts to take off as it has been these companies have the biggest percentage change in gross profit margin. And a lot of more speculative funds and hedge funds go into those names. Next, please. So the growing global reach U.S. Global ETFs now, in particular, JETS and GOAU are listed on the Mexican Stock Exchange, I went down to Mexico made a presentation to family offices of about 150 investors. And we're seeing that also listed in Bogota and Peru and Chile that these the Colombian securities that we're getting more trading and more volume that is taking place in these particular products. It was interesting that in Peru, there was lots of more interest in SCA, the sea cargo shipping ETF. Next, please. Well, there's another factor. There's an intersection with military spending and AI and data centers and NVIDIA chips that's really important for investors we're on a super cycle here for AI. There is no doubt about it, but there's also a fast-end big spend into data centers and sourcing energy. In fact, the biggest spend in America right now for infrastructure is in [ between ] Oplin, Texas, whereas the $500 billion spend to build the biggest high-performance computing data center at this. And what's interesting is that 70% of that demand is for Open Chat GPT. And an Open Chat is a phenomena. Unlike I hear these people say, oh, it's a bubble like tech bubble like 1999, and it's just not true. That tech bubble was eyeballs. This tech bubble, if it's a bubble is because of cash flow and revenue Open Chat has gone from basically nothing to $1 billion a month in revenue. And continues to grow, along with the other big language model companies like perplexity, Groq, which is Elon Musk investment and through a special purpose fund, we have a small investment in the sort of growth in that Groq that's in the U.S. global portfolio investments. And the only way to get that was to go through a special purpose. And it's illiquid, but it's growing, and it's just important to recognize that we believe that U.S. Global, we were in a super cycle. And a super cycle is really important for us that the military spend because of what's happened in the Ukraine and how the Ukraine have a pushback with creating asymmetry with drones for using GPU chips, but these inexpensive drones basically been able to deter and push back against Russia. And President Trump, no mentioning of words of telling the NATO members of Europe and Canada got better [ antipasto ] spending more money or they're going to pull NATO. And it's been a sea change. The amount of money and what's happening in Europe is very profound, they're going to emulate America and create an industrial complex that parts will be made through all these different countries in Europe and basically being assembled in Germany, tax special weaponry cannons, missile launchers, et cetera, et cetera, and so Germany is committed to up to 5% of their GDP. But that's a big number. You're talking, and that's going to be, when I do my other calculation is up to over $300 billion. And you take a look at a Sweden, all of a sudden there are 2%, who's the strongest center has been Poland. So next place. So there is a big spend of the NATO members, and this is looking back, basically, but these numbers are just going to grow and the consumer is concerned. Well, a lot of this money is going to go into a satellite that's going to go into needed to use of NVIDIA chips to power these new drones or autonomous weaponry, autonomous submarines, autonomous vehicles, dogs that are autonomous that can go into high conflict zones. It goes on and on with your imagination, but the spend is huge, but what you realize is that it has to go into data center, so that it has to go into -- because if you don't have high performance computing data centers, then the drones don't work and the satellites. So all this stuff is all hyperlinked to each other. Next, please. We used to think it was just metal, iron and steel, now it's a very different world. But this was NATO members projected defense spending and the numbers are quite substantial. The last number like for Canada is actually over $150 billion. And it's up faster than what this was printed out. Just to give you an idea of what's taking place. Countries like Poland became big spenders because not only from refugees come from Ukraine, but from Belarus and they had to build a wall to protect illegals or the spies coming into sabotage illegal complexes within Poland. So Poland is very sensitive of Russian spies coming into the country. So you're seeing them put up a big spend. And what's interesting is that Greece is a big percentage of GDP because they had no idea how to protect their borders when they had the Syrian crisis, and they were going from Turkey over to Greece and how do they manage all of this was a game changer for them. So the U.S. is projected to spend $1.5 trillion. But what's the difference between what we're spending in China? China might spend 8% on soldiers and health care, et cetera, most of us going into armaments, whereas 50% of NATO and U.S. is on soldiers and the cost for health care and continuous care for these soldiers we are actually underspending relative to what China is spending. Next, please. The AI market is exploding. And will continue to spend 28% CAGR. And next please. So it's important to understand these big changes. And that's 1 reason why we created our war with ETF. But as AI to rebuild the military, so it has a lot of cybersecurity-related investments. Next, please. But what's really alarming is that ETFs have grown to be more in numbers than overall listed public companies and talk to a retired former SEC senior lawyer is alarming and that the SEC has to go and promote new IPOs, new companies coming public, the formation of capital because if that's not growing faster than M&A work, then all of the sudden mutual funds became bigger than stock shares outstanding. And what you do see is that there are lots of mergers and there's not of private equity coming in buying companies. So therefore, eventually starts impacting liquidity. The new administration is very pro turning up IPOs and creating capital for more public companies, which is positive. The ETF is really fasting what's happening there is the thematic ETFs are capturing more imagination. And not just an index that's really based on something by these index providers, but active ETFs have flourished, and that's something that we are really happy about and positioned to capture the growth. Next, please. So U.S. ETF assets are approaching $11 trillion. Next, please. Now what's the time for small caps to run? Michael Gade is well known in Piper Sandler, likes to say, a small caps, the unquestionable winner in August. But we saw that we rose, but really nothing greater than the rose of 2000 small caped index. It's related to what's the growth in assets. And I showed you earlier that when we had JETS go from $40 million to $4 billion in assets and HIVE go from $0.50 to $10 or some number like a big number. Those big moves on our balance sheet, in particular, the growth in JETS that there is lots of sophisticated investors that trade our stock around the number of creates and fund flows. So they're looking at the total number of assets we have every month. And if they start to expand, then they want to be long. If they start to fall, then they want to be out. I was told by 1 small group that they do biweekly what the overall asset picture is because it drives revenue. That's not how we function. We're long-term investors. And we believe that we have great products. We have real conviction on the quality of the products we offer. And so they've been rigorously back tested before we put them in the marketplace. JETS has validated this concept of what we went out to create that was to be the New York Stock Exchange Global Airline Index. And even after fees has done that. And when we look at the airline industry, it is almost 9% of global GDP. So can you get 1 product that's capturing 9% of their global GDP? Well can you capture -- another product captures 80% of all global trade at sea. I think these are really unique products. And I hope we have in England, it's called Trip. So it's basically JETS with additional hotels and cargo and not cargo ships but cruise liners because cruise liners are having incredible growth in revenue that people are still spending incredible cruise amounts of money to go on cruises and same thing with airline tickets, the prices have not gone down. When I get analyst say, it's really interesting to share with you, Wall Street comes out and says, well the airlines are going to grow up 3%, but GDP Airport grew at 15%. So how can the airport grow of traffic, 15%, but the airlines are only grow 3%. And so there's a disconnect that there's always a negative narrative that's been going on for 2 years now that the airlines are going to fall apart, but they continue to defy and they're using AI to have pricing power and how they move their Jets along, if they're going to cancel roots, it's done very quickly. So it's important for you to recognize the investors that AI is a significant component for how airlines are managing supply, which then gives them pricing power. Next, please. Bull markets have lasted 5x longer than Bear markers on average. So I watch this. I see this and I listened to and I read a Twitter and LinkedIn and this is just potentially to look for the next crisis. So people can pat themselves they call the crisis. But if it happens by the dip and hold on for life that's basically what this suggesting because of trade payer. Next, please. Warren Buffett highlights the value proposition of buying back one's own stock at a value accretive prices. And it benefits all shareholders. It's very much a democratic process democracy, democratizing capital markets is not just for the biggest holders. And so he will retire at the end of 2025 at the age of 95 with $340 billion cash to invest. So I think it's interesting in what he's done, but he was a big proponent of buying back stock. So let me give you a quick recap. Next, please. So positive news, buyback authorizations have increased 19% year-to-date. So that has been another part about executives and boards making a decision to buy back their stock. Next, please. While we buy back stock because we believe the stock has undergone and therefore, buy back shares as we're long-term investors. And this is part of the company's 2-pillar strategy to enhance shareholder value by paying dividends as well as buying back stock per year. Next, please. So for share repurchase program for the end of June 30, the company repurchased a total as 801,000 Class A shares using cash of $1.9 million, of which a lot of these proceeds came from being paid back on our debenture from HIVE. Next, please. Those repurchases, as you can see, showing you that has steadily increased. Next, please. The dividends, the company pays a monthly dividend. That's a 3.66% yield, it was more attractive than any money fund. Next, please. Shareholder yield. This is the algorithm dividends plus buybacks plus debt reduction divided by market cap is the overall shareholder yield. And next, please says that U.S. Global, and the 5-year treasury is 3.79%. Most dividend paid stocks are based on the 3.79%, the 10-year is 4.24%, odds favor rates dropped this month. So what does that mean? Well, that's one other factor that people look at to move stocks around. But the shareholder yield is 9%, so we believe that GROW is an attractive buy. Next, please. We look to compare our souls to WisdomTree which is 100% ETFs at Invesco, 40% of their assets to our QQQ and give an idea for relative multiples and what the rotations are for investors. Next, please. So I look for at 2025, the company has a steady cash flow despite volatile and challenging macro environments at the apathy for JETS is disappointing and for gold, we believe that this turns on when a turn is very rapid, it just happens so quickly. And so we -- our assets are down from a year ago. So we ended up losing money, but we still keep deploying and building our plan because we believe that it just happens so quickly, fund flows and directional change. And so we believe that we'll continue to buy back stock on flat and down days and pay monthly dividends. And we have a strong business to do so. Next, please. Smart beta investing is our quantamental fundamental investment strategy because it combines cutting-edge technology with robust data analysis to help optimize returns and manage risk effectively for our shareholders. It's a quant approach. It's back tested thousands of hours before we go and launch a product just like medical product is supposed to be tested over and over before unleased to the public, and we have the same sort of discipline. Next, please. GROW's investment is slowly drilling down to 8% comfortable debenture of $1.5 million. And as the money comes in, we're redeploying back into the crypto ecosystem. Next Please. So it's -- we have $1.4 billion in assets. We have [ $1.5 million ] in annual operating revenue. the real important number is to get through $1.9 billion. We've seen this happen in a month. So as I said to investors that we've seen the redemptions slow down, we've seen the apathy slowdown -- and we think that with our thematic asset classes that we remain very bullish and committed to a long-term secular Bull market. Next, please. Average assets under management. As you can see that shift, that's really just the talent time of apathy not having bad products, but having good quality product out there. Sentiment, we can't control. We can still control, having a good product. Next, please. Quarterly earnings per share were definitely impacted marked by the tariff war for the quarter. It's improved this quarter ended June and hopefully, it improves this next quarter. Historically, in the fourth quarter, airlines have a huge run -- and usually, September is usually a good buying, and they have a big run along with Bull stocks, so we remain very positive going into the year-end. Next, please. Now I'm going to turn over to hard working, our CFO, Lisa Callicotte, to give you a granular detailed analysis. I know I've been long-winded to talk about a macro theme of where we are and she'll give you a bottom-up analysis of financial analysis. Thank you, everyone, for being loyal shareholders. Lisa?
Lisa Callicotte: Thank you, Frank. Good morning. First, I'll start with our Slide 43 that has the financial highlights for our 2025 fiscal year. Average assets under management were $1.4 billion for the year ending June 30, 2025. The Operating revenues were $8.5 million, and we had a net loss of $334,000 or $0.03 per share. Slide 44 notes our breakout of earnings. So we have operational earnings that consist of our advisory services and then we have other earnings, which mainly consists of realized and unrealized gains and losses on our investment holdings. But both of these are dependent and will fluctuate based on stock market forces. The next slides talk about more of our detail of our operations for the fiscal year ending June 30, 2025. Our operating revenues were $8.5 million for the year, which was a decrease of $2.5 million or 23% from the $11 million in the prior year. The decrease is primarily due to a decrease in assets under management, especially in our JETS ETF. Operating expenses for the current quarter were $11.4 million, relatively flat compared to the prior year. On the next slide, we see our operating loss for the year ending June 30, 2025, is $3 million. And we had other income for June 30, 2025, of $2.7 million compared to $2.4 million in the prior year. This was an increase of approximately $329,000, mainly due to higher investment income in the current year. In the current year, we had lower realized and unrealized losses versus the prior year. Net loss after taxes for the year was $334,000 or a loss of $0.03 per share, which is an unfavorable change of $1.7 million compared to the net income of $1.3 million or $0.09 per share for fiscal year 2024. If we move on to the balance sheet on Slide 47 and 48. We see that we have a strong balance sheet and has high levels of cash and securities. And then if we go to Slide 49, that notes our total liabilities, and these are consistent with prior year. The next slide is a detail of our stockholders' equity. At June 30, 2025, the company had a net working capital of $37.2 million and a current ratio of 20.9:1. With that, I'd like to turn it over to Holly, so she can discuss marketing and distribution initiatives.
Holly Schoenfeldt: Thank you, Lisa. All right. This first slide in my section showcases our ongoing dedication to delivering original timely market insights to our YouTube and TikTok channels, Video content remains one of the most powerful tools for educating and engaging both new and existing shareholders. If you haven't already, we'll strongly encourage you to explore our YouTube channel. All right. On the next slide, I'd like to spotlight several recent interviews featuring Frank Holmes from the past quarter, including appearances on the Seeking Alpha podcast premarket Prep, FOX Business television and other major platforms. Earned Media remains a cornerstone of our marketing strategy, giving us the opportunity to share timely insights and thought leadership across a range of thematic sectors. We regularly amplify these appearances on our special media channels JETx and LinkedIn, and we featured them throughout our website content too. All right, on the next slide. Our war ETF launched about 9 months ago, and we continue our outreach and marketing efforts for this unique product and we actually just published a white paper this week on defense spending and the ETF itself, and that can be found on u.Sglobaletfs.com or to e-mail us at info@usfunds.com, I will send you that link. All right. On the next slide, I also want to quickly announce a few webcast we have in September, both of which you will be able to access a replay for. One is September 10, where we will be teaming up with the HIVE ETF team out of Europe to discuss our UCITS Travel ETF, ticker symbol TRIP or TRIP. Secondly, on September 25. Frank Collins will do a virtual webcast highlighting clear trade in the market right now and specifically, why not going to be a good time to look at exposure to defense and gold. All right. On the next slide, we always like to recap the most read Frank Talk blog post during the most recent quarter. So as you can see here, the top being focused on defense and [indiscernible] along with the attractiveness of gold. So again, that perfectly aligns with our webcast on September 25, we hope you'll tune in. And we hope you'll keep reading the Frank Talk Blog. Thank you. All right. Finally, on my last slide, I do encourage all of you to follow U.S. Global Investors on social media. We're on Twitter or X LinkedIn, YouTube, Instagram and Facebook. So wherever you prefer to get your news, be sure to check us out. This was your up-to-date with what's going on not only with growth but our funds and, of course, the broader market insight. All right. As a reminder to our audience, if you have any questions today, please feel free to e-mail those to us at info@usfunds.com, and we will gladly follow-up with you and get anything clarified that you may need more information on. Thank you so much for tuning in today. That concludes our webcast summarizing fiscal year 2025.